Operator: Ladies and gentlemen, good day and welcome to the Infosys Earnings Conference Call. [Operator Instructions] Please note that this conference is being recorded. I would now like to hand the conference over to Sandeep Mahindroo. Thank you, and over to you, sir.
Sandeep Mahindroo: Thanks, Aruna. Hello, everyone and welcome to this call to discuss Infosys Q4 and FY ‘17 earnings release. I am Sandeep Mahindroo, Investor Relations here in Bangalore. Joining us today on this call is CEO and MD, Dr. Vishal Sikka; COO, Mr. Pravin Rao; CFO, Mr. M. D. Ranganath, along with other members of the senior management team. We will start the call with some remarks on the performance of the company by Dr. Sikka and Mr. Ranganath. Subsequently, we will open up the call for questions. Please note that anything which we say which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A full statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I would now like to pass it on to Dr. Sikka.
Vishal Sikka: Thanks, Sandeep. Hi, everyone and thanks for joining us. Let me start by covering our performance for Q4. It is fair to say that the performance during the quarter was lower than our expectations. It is evenly soft quarter and we saw softness in consulting and retail and CPG in China as well as some other distractions. Any large scale transformation takes time, but the early years requiring a delicate balance between the dual tasks of protecting and growing the existing businesses and simultaneously exploring and entering new frontiers and the evolution of the organizational culture is also a most critical and yet fragile aspect of this. With this in mind, our core business showed good performance. Our products and software offerings saw some of their best quarters and we saw positive client feedback with our client survey results at their highest since the survey started 12 years ago and this also endorsed strongly our services and software, including Nelson Hall for our core services and IDC, HFS and Forrester for Mana. All our further evidence that our renewed and new strategy is moving in the right direction. They cost $10 billion in revenue and for this, I would like to thank and recognize all Infoscions past and present that have helped us to reach the significant milestone. We delivered strong operational efficiencies, declining attrition over the course of the year, now in single-digits for top performers, healthy large deal wins, robust cash generation and steady margins despite the lower growth trajectory. Our FY ‘17 margins are steady at 24.7% despite the impact of salary increases, cross-currency headwinds and decline in some of our traditional services. We were able to offset these headwinds through a strong focus on improvement in operational parameters like utilization and a tight control on costs. For the full year, our revenues grew 8.3% in constant currency and yet the employee count grew only 3.3%. This is reflected in revenue per employee increasing by 1.2% in reported terms and 2% in constant currency terms in FY ‘17 to $51,375 and is an outcome of our automation and productivity-related efforts. We have 6 large deal wins in Q4 with a TCV of $806 million, comprising $623 million worth of framework deals and $183 million worth of committed value deals. While the large deal signings trend line is in the right direction, more than 90% were renewed in our existing businesses and this is one metric that we will continue to monitor closely. In FY ‘17, we added 5 more $100 million accounts. In Q4, the attrition among top performers in IL, in Infosys Limited, was down to the single-digit as mentioned earlier. Overall attrition for IL for Q4 FY ‘17 was 13.5% quarter-to-date, a decrease from 14.9% in Q3. We continue to strengthen the management team and I am very happy to welcome Pervinder Johar as the CEO of our EdgeVerve subsidiary. Pervinder has extensive experience in building best-in-class software and cloud services and most recently, he was the CEO of a leading software company in the world of business planning. On the contribution from new areas, specifically, our FY ‘17 revenues from new software and software-related services, including Mana, Edge, Panaya and Skava, grew at more than 42%. Starting in Q1 of FY ‘18, we will report revenues on a quarterly basis from the new software and also from our new offerings and services such as digital services, Internet of Things, cybersecurity, the work we do in API economy, mainframe modernization to cloud, BI modernization and the Open Stacks, among others, in addition to all our present disclosures. Looking deeper into the numbers, we can see that our strategy to help clients drive automation and innovation into the core of their businesses through our renewed and new services, software and offerings and our culture of learning and education is the right one. Let me speak about the renewal of our core services and the delivery of new services. In Q4, we helped clients make digital cloud data and analytics and mainframe modernization a reality. And while we continue to strengthen and renew our core services, it is important to note that new services revenue continued to gain strong traction. We also continued to drive grassroots innovation through Zero Distance. In March, we celebrated 2 years of Zero Distance and the implementation of more than 2,000 innovation ideas. Among these were key engagements with many clients, Aon, Affinity and many others. As Zero Distance evolves, we have also focused on converting the best ideas into business solutions and intellectual properties that will help us drive new opportunities across industry segments. In digital, cloud, legacy modernization and automation, we strengthened our strategic partnership with Adobe, Microsoft, Amazon Web Services and salesforce.com. And in engineering services through our partnership with GE, we deliver solutions in the field of automation, digital trends and Internet of Things among others. We partnered with Cisco, Hitachi Data Systems, ServiceNow, BMC, Virtustream, HB Enterprise and Huawei and others to modernize plant infrastructures to bring them the cloud efficiencies. In Agile and DevOps, we helped several large clients transform their IT organizations enabled by our services, including our Infosys developer platform and our tooling and architecture expertise. Internally, we leverage our own automation solutions and though we estimate that we saved more than 3,800 FTEs worth of effort sales in Q4, primarily in application maintenance, packet system maintenance, BPO and infrastructure management, bringing the total FTEs worth of effort sales in FY ‘17 to more than 11,600. Through Zero Bench, which is our program to engage employees in value creation while between projects, more than 20,500 web packets were completed in FY ‘17. And with this, we continue to re-imagine the very notion of the bench. In Q4, when it comes to new software-led offerings, we saw continued strong momentum in Mana, Skava, Panaya and Edge. Mana had its best quarter ever in terms of wins. In Q4, we won 27 Mana engagements, including Etienne, to help them in creating their digital ecosystem. This brings total Mana customers to 50 plus and the total number of engagements in Mana to more than 150. Mana has more than doubled every quarter in the last four quarters of its existence. Skava continued to grow its customer base in Q4, including winning an engagement with EMEA for their next generation rewards management and Design Thinking was a core part of this engagement. Overall, in FY ‘17, Skava grew its customer base by more than 40%. EdgeVerve delivered a strong performance with 30 wins and 26 go-lives from both Finacle and Edge. And at this stage, our flagship RPA platform continues to drive this growth. And Panaya had its best year, finishing the year very strong. In the second half of 2017, we appointed a new leadership team, under the leadership of Jay Klein, to go after higher value opportunities. There are several strong examples of customer success with our new software-led offerings that we have included in our press release that went out earlier today. When it comes to investment and ecosystem, we continue to invest heavily in AI capabilities and our AI platform, Mana. And this quarter, we added significant expertise by acquiring a highly accomplished team of machine learning experts on Skytree, one of the early startups focused on speeding up and scaling machine learning. Skytree’s Founder and CEO, Professor Alexander Gray from Georgia Tech did some early pioneering work on massive scientific datasets and machine learning from those at NASA. Sanjay Mehta, Skytree’s Head of Engineering and an IIT Mumbai alumnus, brings two decades of experience delivering highly scalable on-premise and cloud enterprise systems, and I am really excited about the tremendous potential of our joint teams. In addition, through our $500 million U.S. dollar innovation fund, we continued to support startups that extend the innovation that we bring to our clients. We made seven new investments, including Unsilo, an AI company, ideaForge, a pioneer in autonomous unmanned vehicles and Trifacta, which enables lines of business to gain insight from growing volumes of raw data. We initially entitled scale supporting their groundbreaking technology and the work diverse virtualization to reduce hardware costs for large-scale information processing. We invested in Cloudyn, which helps clients understand the cost performance benefits of moving work loads to public cloud. And lastly, we continued to invest with limited partners, selecting Stellaris Venture Partners to help us gain exposure to innovative new companies in India that we can help bring into other markets. With regard to culture, in FY ‘17, we introduced our RSU Plan for the top performers and high potential employees, covering approximately 25% of mid to senior employees that is more than 8,300 employees. In addition, we restructured the compensation of senior leaders to be more performance based with a significant portion of their compensation now coming through stock incentives. I am personally proud of new RSU and performance based plans as I believe any world class organization must be performance driven and enables employees to be entrepreneurial and share in the successes of the company. I believe this entrepreneurialism and innovation is fundamental to our success in the times ahead. In education and training, Design Thinking training now covers more than 135,000 employees across the organization. Beyond this, we are brining new immersive learning to AI training. We have now trained more than 2,000 people on machine learning and on our Mana platform, leveraging books to deliver new courses at scale, introducing a new class for power programmers using the flight simulator model of experiential learnings and expanding learning to the Digital Tutor’s social learning platform and the Infosys learning platform. Looking beyond business, in Q4 the Infosys Foundation committed to the construction of sanitation facilities at government schools and training centers in Tamil Nadu, Telangana and Karnataka and partnered with The Akshay Patra Foundation to provide sanitation kits and counseling for 1 year to 20,000 girls attending school in Jaipur. An announcement from the foundation to Sri Ramakrishna Sevashrama this quarter had provided drinking water and fodder to remote villages in and around Pavagada, Karnataka. The Infosys Science Foundation, ISF, honored six top researchers across the world in science and humanities with the Infosys Prize 2016, celebrating their inspiring contribution to science and to research in the public good. The Infosys Foundation USA announced new data training grants for Bootstrap, Exploring Computer Science, UTeach, Beauty and Joy of Computing, and Mobile CS Principles, enabling 500 public school educators nationwide to attend free high quality computer science professional development in the U.S. Including the earlier commitments to Code.org and DonorsChoose.org, the 1,000 educators supported in summer of 2017 will double the number of teachers that we helped in 2016 and bring computer science education to tens of thousands of new students. In addition, the Foundation will continue to support Hispanic Heritage Foundation and its summer 2017 LOFT Coder Summit at Stanford University. Coming to outlook – coming to the business outlook for FY ’18, based on what we see presently, we are guiding for a constant currency revenue growth of 6.5% to 8.5%. This takes into account a normal seasonality of stronger performance in the first half of the fiscal year. Our margin outlook for FY ‘18 is for operating margins to be in the range of 23% to 25%. The FX considered include recent rupee appreciation and expanding capacity in on-site development centers to mitigate any potential risks from visa regulation in the U.S. as well as the necessary investments in new services and new software product [ph] releases. We will continue our relentless focus on cost optimization as we have done this past year and accelerate automation and innovation and mitigating the impact on margins. In closing, we remain steadfast and passionate in our longer term path to transform Infosys and to continue – and we continue to see many positive signs that our strategy is the right one. I will now hand it over to Ranganath for his comments on the financials. Thank you.
M. D. Ranganath: Thank you, Vishal. Hello everyone. Let me start with the key outcomes for the financial year 2017. Our revenues grew 7.4% in USD terms and 8.3% in constant currency. Coming to operating margins, we had indicated that the operating margin guidance for the year to be in the range of 24% to 25%. Our operating margin for fiscal ‘17 is closer to higher end of the guidance range at 24.7%. Operating margin for the year was steady despite the pricing decline, currency volatility during the year on account of Brexit and the U.S. elections and lower revenue growth trajectory during the year. This was primarily an account of a sharp focus on operational efficiency parameters like utilization, on-site employee costs as a percentage of revenues, subcontractor costs as a percentage of revenues. Let’s look at each of these items and see how they moved during the year, to utilization. Last year, we exited Q4 with utilization of 80.1% and ended the current Q4 at 82%, an increase of almost 2%. Likewise for fiscal ‘17, utilization was 81.7% compared to 80.6% for our fiscal ‘16. Coming to on-site employee costs as percentage of revenues, it reduced to 38.1% in Q4 this year from 38.6% last year, which is a drop of 0.5%. For full year fiscal ‘17, total employee costs as a percentage of revenues was held steady at 54.7%, despite the compensation increases. Subcontractor expenses as a percent of revenues was held steady at 5.6% revenue for the full year. Let us now move to the second key outcome of fiscal ‘17, which is a robust cash generation. For fiscal ‘17, cash provided from operating activities as per consolidated IFRS, grossed $2 billion for the first time ever at $2.099 billion, an increase of 13% over last year. Likewise, free cash flow, which is operating cash flow less capital expenditure, increased by 16% to $16.88 million. Looking at our cash conversion, operating cash as a percentage of net profits improved to 98% as compared to 91% in the previous year due to strong cash generation, cash and cash equivalents, including investments to that a record high of $5.979 million. Coming to capital allocation policy, the Board has approved a revised capital allocation policy, keeping in view the strategic and operational cash needs of the company in the medium-term as well as enhancing the returns to our shareholders. The details have been announced in the results press release, further announcements in this regard will be made as appropriate in due course. Volume growth for fiscal ‘17 was 10.2%. For the full year, the realization declined by 1.9% in constant currency terms and 2.7% in reported terms. Our net employee addition in fiscal ‘17 is 6,320, which is significantly lower than the 17,857 last year. This is reflected in the improvement in the revenue per employee in fiscal ‘17 to $51,375. Basic EPS for the full year was $0.94 compared to $0.90 in fiscal ‘16, which is a growth of 4.3%. Coming to Q4, our revenues in dollar terms were up by 0.7% sequentially in reported terms and flat in constant currency. On a year-on-year basis, revenues grew 5% in reported terms and 5.3% in constant currency. Our operating margins for the quarter was 24.7%, a decrease of 40 basis points over Q3 ‘17. During the quarter, rupee appreciated by 1.4% against U.S. dollar, which impacted the margins by approximately 35 basis points. There was a positive impact of 50 basis points in account of cross-currency and revenue hedges. This was offset by an approximate 55 basis points impact from a decrease in realization and an increase in other costs, leading to an overall 40 basis points on – decline in operating margins during the quarter. Operating cash flow for the quarter was $547 million, flat at Q3 levels. Free cash flow during the quarter was $443 million. This was despite tax payments of about $45 million that was paid pursuant to demand from tax authorities in India. DSO for the quarter improved to 68 days compared to 69 days in Q3 ‘17. Our hedge position as of March 31, 2017 was $1,350 million. We are guiding for a constant currency growth of 6.5% to 8.5% for fiscal ‘18. On operating margins, we expect our fiscal ‘18 operating margins in the band of 23% to 25%. In fiscal ‘18, apart from the rupee appreciation that we have seen, we also expect ramping up of onsite development center in the United States to address potential visa regulation changes. However, at the same time, as we have done this year, we will relentlessly focus on implementing operational efficiency parameters, especially on higher offshoring, roll mix optimization onsite and benefits from automation to minimize the impact on operating margins. As you know, several regulatory proposals are under consideration in the United States that in this size changes to visa regime. At this point in time, there is no clarity on what proposal and what form will be finalized. So, our margin band for fiscal ‘18 doesn’t include potential impact on these aspects. As in every financial year, Q1 would see compensation increases and these are costs which we expect to play out in this quarter as well – in this Q1 as well. With that, we will open the floor for questions.
Operator: Thank you very much, sir. [Operator Instructions] First question is from the line of Moshe Katri from Wedbush Securities. Please go ahead.
Moshe Katri: Yes, thanks guys. Just going back to the topic of margins and that’s been probably the most frequently discussed topics since last night by investors. This is another kind of margin reset delay kind of the market sees it here. One, appreciate some of the data in terms of what drives the lower end of the range to 23%. Is there anyway to kind of quantify specifically how much incremental recruiting domestically will impact margins in fiscal year 2018? Maybe also talk about the investments? Is there also a factor on the pricing compression that you are seeing in the legacy business? Any color here will be useful just because of the fact that people are worried that this is not the last reset on the margin side? Thanks.
M. D. Ranganath: Thank you. Ranga here. So, if you look at just before I answered that question, I also want to provide some color on the operation margin trajectory during this current year and what were some of the things that played out and how we addressed and why we are kind of expanding the margin range, right. If you look at earlier this year, we expect a margin guidance of 24% to 25%. And we ended up at the higher end of the guidance range at 24.7% and this was despite almost 5% reduction in revenue trajectory as compared to previous year. If you recollect in fiscal ‘15, our constant currency revenue growth was 13.4%. And this year, it is 8.4%, almost 5%. But despite that, we are able to hold the operating margins steady at 24.7% primarily because we focused a lot an operational on efficiency measures that I outlined like utilization onsite and employee costs and so on. We do believe that some of those levers do exist with us today. For example, onsite effort mix, which is close to 30% and we have seen earlier in recent years at 27%. Every 1% reduction in onsite gives us operating margin benefit of 40 basis points. So these are some of the areas we will focus on further in this year. Likewise, if you look at the onsite employee cost, one of the other measures we have deployed in these quarters is really to look at roll mixing fixed space projects. So that’s how despite the revenue, lower revenue trajectory and other compensation in prices last year, we were able to hold the margin steady last year. Now, the reason for expansion this year while we will continue as I said earlier our relentless focus on the operational parameters which we still have levers especially onsite. One is the rupee appreciation. If you look at last 2 weeks almost, if you compare with the FY ‘17 average to year end closing, rupee has appreciated about 3.3%. So that is something we need to watch out. Of course, even last year, we had huge currency fluctuations on account of Brexit and U.S. pound and euro with the U.S. dollars. We navigated that successfully. However, I think we want to kind of keep in view the trajectory of rupee and see how we navigate. The second part, as I mentioned earlier, is also we are proactively making certain investments in the United States, especially opening certain local development centers to ensure proximity to clients, at the same time, ability to attract local hires. One of the key reasons why many of the local hires were really – we are not able to attract apart from many other reasons is the location certainty. For example, we expect our employees otherwise, come on these are there to move from one location to another as and when the projects get completed, which doesn’t give location certainty for the local hires. So, there is [indiscernible] to join us, because they want to be in a particular location. So, we have been developing these development centers in client clusters. Today, we have high concentration of clients, so that local hires could join us, be in the development center and ability to work across projects in that cluster. So, we believe that this will help us in attraction. So, there are couple of operating costs which are – which we do believe is one-time, which is essentially in that increasing attractiveness for local hiring. And we have made some progress during the – in fact, some of the investments started as early as previous quarters. We have had those hirings and they are deploying. So, we are proactively addressing that aspect. So typically, these two are the key aspects. Coming to the other question and part of the question that you have is it because of the pricing decline. Even last year, if you look at the pricing decline was about 1.9% in constant currency, but despite that, we were able to offset that through operational efficiency measures and hold the margin steady. I think this additional aspect that we want to look on how do we want to mitigate any potential margin impact is also on automation. One uptick that we saw which is probably what you are noting is this year, the net headcount addition into the group was about 60% lower than last year’s. We added just about little less than 6,000 employees as compared to close to 18,000 employees last year. I mean, essentially, we want to see whether this could accelerate during the year by way of automation and productivity and how much that could really provide us some positive impact. So net-net, I think the expansion of margin range, 22% to 25%, while we will continue to focus on operational efficiencies, primarily from proactive investments, one-time investments were made. We plan to make during the course of the year gradually as the last [indiscernible].
Moshe Katri: Great. Just a follow-up. That’s the other question that people are asking. Do you think, and this is for Pravin, do you think it’s too early or premature to call the spending recovery in the financial services vertical or this is something that we have been focusing on since the end of last year and post the election in the U.S.? Thanks.
Mohit Joshi: Yes, hi, this is Mohit Joshi. I think look, that’s a very valid question. The way we look at it and this is a very U.S. specific issue. The way we look at it is that the sentiment has certainly improved. There is a lot more optimism because of that 8 cards and because of the expectations of an easier regulated regime. And we expected fully to flow-through into IT budgets. We haven’t seen that yet, but the pace of the cuts certainly seemed to be a lot less furious that a year ago and expect that over the next few months. It should start going into spend. Does that answer your question?
Moshe Katri: That did. Is that embedded in your guidance at this point?
Mohit Joshi: Yes. So the guidance obviously reflects the situation as we see it now, so yes.
Moshe Katri: Alright. Thanks a lot.
Operator: Thank you. Next question is from the line of Rod Bourgeois from DeepDive Equity Research. Please go ahead.
Rod Bourgeois: Yes. Thanks for taking the question here. So the DeepDive/Everest Group Forecaster has called for the top five Indian firms to grow 6.3% in organic constant currency over the next 12 months. I am looking at the midpoint of your fiscal ‘18 guidance at 7.5% in constant currency. If you assume that you might generate around 1 point of growth from acquisitions over the next year, your guidance is actually right in line with our market forecast. So the question I have is when you formulated your fiscal ‘18 guidance, did you assume that Infosys would be a share gainer or a share maintainer or perhaps even a share loser depending on your market forecast, our forecast implies that you are essentially pounding on show maintenance over the next year, but I would love to get your take on how you see your growth outlooks stacking up against what you are seeing for the overall market, particularly for the top five Indian firms?
M. D. Ranganath: I think let me address that particular point. See, just to step back, if you look at the last two fiscal years. If you look at fiscal ‘16 or fiscal ‘17, if you exclude last two before that, our relative share, if you look at the – if you compare with the NASSCOM guidance in India or our large peers, we used to grow about 50% of what NASSCOM indicated are 50% of our large peers. That used to be till fiscal ‘14 and ‘15. Last 2 years, our endeavor has been to bridge the underperformance of the company vis-à-vis the NASSCOM guidance, vis-à-vis the large peers. If you look at last 2 years, you are pretty much in line with the industry. And in fact fiscal ‘16 probably we were slightly ahead of the industry growth both NASSCOM as well as the peers. And even fiscal ‘18 based on what we see, what we’ve announced and expectations from guidance in NASSCOM as well as the large peers in fiscal ‘17, also our growth has been in line with the industry. So last 2 years, the relative underperformance of the company, vis-à-vis the industry growth rate, whether it was NASSCOM or other large peers have been arrested. This year NASSCOM has kind of shied away to give guidance at the beginning of the year. So I think what they have stated is that they will watch the Q1 performance of all the large players and will give their guidance post Q1, I think that is the statement they have taken. As far as our guidance, is primarily driven by the bottom-up approach, for example, from our existing clients, the market share, the penetration that we see from the large deal wins that have happened in the earlier quarters what is the ramp up that we see as well as new Saudi project starts that are likely to happen during the course of this quarter and coming quarter. So it’s a combination of grounds up. So in summary, last 2 years I think our growth rate has been in line with the industry in fiscal ‘15 and slightly ahead of the industry. But this year, we have taken a primarily bottom-up approach.
Vishal Sikka: Yes. And hey Ron, this is Vishal. Just to add to Ranganath’s points. If you look at our business, it is – to answer your question a little bit more thoughtfully I want to look at it from two different points of view. One is the nature of our business and the other one is the nature of what’s going on at clients. If you look at our business, we have basically around 1,000 clients and a relatively small number, 250 of them accounts for a vast majority of our revenue. And if you look at the other companies in our state, it is more or less the same kind of a situation. Basically, everybody is around 1,000, 1,200, 900 clients, something like this. So therefore, even if you look at the top 10,000 businesses in the world, our penetration relative to this is relatively small. And so there is a vast open field of opportunities for us to go and so share gains relative to others is the way I see it is a relatively smaller part of the overall equation and a lot more of the growth is to be achieved by being relevant to clients, especially in areas that are new and that are strategic and deeply relevant to the clients’ futures. If we do that, I think the vast majority of the growth would come from new areas and not as shares at the expense of others in the industry, but really as business wins directly with clients and unprecedented new areas. The other part of it is that the software business that we have, which is still a small part of our business, but growing very rapidly, applies to much larger client base than our traditional go-to-market services. And in this world, we expect to grow significantly over the course of this year. And this part of the business is not – does not have the same kind of seasonal headwinds in the second half of the year that the services business does. So the applicability of this is to several thousands, potentially a few tens of thousands of customers. And so over the course of the year under Pervinder’s eadership, our endeavor is going to be build – build a go to market motions and channels to this larger client base for our software. So it is a multi-faceted situation that we see. And the way I look at this, rather than look at it from the way industry is moving and so forth, I look at this as our ability to engage with clients in the areas of their strategic relevance, our ability to build differentiated offerings and our ability to build a new channel into the new parts of the markets that are relevant for our software world. I hope that…
Rod Bourgeois: Yes, that helps. In the way of follow-up, can you just give us your views on two growth drivers, one would be new bookings, so not renewals, but the outlook for booking new contracts with new scope. And then also your assumption for fiscal ‘18 on pricing, given that it was down last year, do you expect it to be down again in fiscal ‘18?
Vishal Sikka: Ron, we don’t generally breakdown the new in services bookings, vis-à-vis the renewed – renewals. But in large deals, we report this on a quarterly basis. But we generally don’t break it down. We will talk this through and see if we have one of the upcoming analyst meetings isn’t something that we can provide a more color on to you guys.
Rod Bourgeois: Okay. And then on the pricing front?
Vishal Sikka: The pricing, we have seen it relatively stable. Certainly, on the diamond material side, it has been pretty stable. And I think we – Ranganath, did have some commentary on that in the – relatively stable so far and that’s somewhat we see.
Rod Bourgeois: Okay, great. Thank you, guys.
Operator: Thank you. The next question is from the line of Joseph Foresi from Cantor Fitzgerald. Please go ahead.
Joseph Foresi: Hi. I just want to make sure I got this right, so what accelerates your growth rate from these levels, is it the new areas, software and the new initiatives, is there an opportunity to get back to I guess low-teens and I think you might have said something about breaking out the new versus older services as a percentage of revenue going forward, can we get a preview on that?
Vishal Sikka: So Joe, maybe I can speak at a high level. If you look at our business, roughly 65% of our workforce produces about 55% of our revenue at roughly $48,000 RPP. This is – this part of the business is the one that is more commoditizing. This is the part which is around maintenance and operate areas of business like that. Here, the growth rates are not so strong and the margin pressure is quite high. We have had volume growth outperform revenue growth so far. And in this part of the business, our endeavor is to bring an extreme focus on automation to bring differentiated offerings vis-à-vis moving to new cloud infrastructures and things like this. And nearly differentiate on the business of delivering much higher productivity and efficiency improvements to our clients, optimizing parameters like to roll ratios and on-site mix and so forth. The other part of our business is where 35% of our workforce produces 45% of our revenue. This happens at $72,000 RPP. And here, the growth rate in the past year has been close to 20%. The growth rates are very high. The margins are higher than the margins for the industry. And if you look at software as well as a part of this I mentioned earlier, software is growing at 43% year-on-year, the new software. This is part that we wish to double down on, develop our sales competencies, go-to-market competencies and really push hard as well as bringing a real innovation to that design thinking engagements, really engaging on strategic fronts bringing software into the mix and so forth. So, it is really a two-pronged strategy, a portfolio-oriented strategy. Of course, some parts of our business I have talked about consulting before and cynical BPO. BPO has had very good performance both on growth as well as on margins over the last 9 months. And so we are happy about where this is headed. We want to bring some more transformational capabilities to BPO, something with the leadership we are looking forward to a double-digit growth a year ahead of us. And consulting has been I guess the polite thing to say what is the word, headwind. And really, I mean, starting from Q1, it has been something that has, in particular pockets of some parts of our consulting, which are somewhat backwards looking is something that Rajesh took over consulting about 9 months ago has really been focusing on reshaping this in a very purposeful kind of a way. So, that is really the three distinct parts of our portfolio, really the growth emerging next generation new parts which we want to really push a little hard on the more commoditizing parts of our services which we want to bring as much automation and Mana-led efficiencies as possible and then the businesses that we want to turn around. Ravi, you want to add anything to this?
S. Ravi Kumar: Yes. So the growth portfolios, as Vishal spoke about it in the new services are primarily the ones which customers are significantly spending to transform their own landscapes. So either you would potentially use the services to renew an existing landscape or you would bolster an existing landscape with the level of modernization to leverage the power of new technologies. So, it could be either say – I will illustrate a few examples. It could be a mainframe modernization program to move customers out of the mainframe to very agile newer landscapes. It could be cybersecurity to bolster an existing infrastructure and network, which can make it very safe. It could be digital technologies to transform and innovate their business process. So, the kind of span across these high spend areas, very little talent available in the market so you will have to build teams organically and hire people with deep expertise, huge headroom. And therefore, the growth rates are very high. The faster you could actually take it up and invest in them and be a part of the client journeys, there would be significant spend and hence you could realize the value out of it.
Joseph Foresi: Got it. So just so I understand, 45% of your business is growing about 20%. And then 55%, which includes consulting headwinds, right, is probably declining at a specific rate because that will get you to your overall growth rate. Is that fair?
S. Ravi Kumar: Yes. So, the balance, which is the commoditized business, while it is not growing in revenues it would continue to grow in volumes and that’s because there is a heavy commoditization, which essentially means you would have to take cost out. You would have to make it very agile and invest into new areas. It will feed into the new areas. We still need to be in that business. We need to be in that business, because it is an estate you want to own so that you get the rights to actually invest into the new areas. And then as a firm, we have to have the duality of taking cost out in those commoditized areas and investing into new areas and make the growth happen from the newer areas and take people out, refactor the talent and push them into new areas and use software and automation to allow the state to be maintained by us. So, it’s kind of a dual strategy to go ahead. I don’t think it’s one against the other. We have to just do both.
Joseph Foresi: Got it. Okay. And is there an FTE or cost takeout target for FY ‘18 how should we think about your progress there?
S. Ravi Kumar: Are you talking about the automation led takeouts or the broader ones?
Joseph Foresi: Yes. I think you had talked about maybe 11,000 in total in FY ‘17 roughly and I am wondering, is there any targets that you have set internally that you could share with us for FY ‘18 on headcount reduction through automation?
Vishal Sikka: Joe, so far, we have been reporting this FTE number, which is – because the FTEs that we released got assigned to other projects are moved to other sometimes – other service lines or upscaled themselves to higher order services and so forth. This is really not a very good proxy for automation. As we get really serious about bringing automation in a massive way into our – the numbers, of course, I mentioned 11,300 plus number or something like this over the course of the last 12 months is actually a very significant number, which means that the impact is happening and you see that in the revenue per employee improvement. You see that in the fact that the revenue growth has significantly outpaced employee additions. So, it is working. But now, we really need to take this to a whole different level and that is going to be the end over the course of this year. So, do we have any goals for it? Mike will also say is that the agile minimum viable way of working under the initiatives is to not have artificial goals that constrain our thinking. The only goal really is 100%. We want automation to come to 100% of our projects, 100% of our fixed price projects, 100% of our large client engagements where we have a meaningful chunk of the business process or the application landscape that we can transform by virtue of automation. I mentioned earlier 50 plus Mana engagements. Of these, something like maybe Sandeep, correct me if I am wrong. 28 are in the Mana for IT area, where we are already doing IT work together with Mana. So obviously here, and Mana, becomes the system which helps automate the operation of the systems and there are number of people is quite smaller that work on the Mana platform. And the other ones are in the new areas of Mana which is in a different category, the Mana for business, where you built breakthrough in applications. But coming back automation, so really our goal is to launch a massive campaign, a top-down one starting with our big account engagements and the fixed price projects and the bottom up one, which is a particular instance of our Zero Distance campaigns to really bring automation basically into 100% of that 45% of our workforce – sorry, 45% of our – 65% of our workforce, which produces 55% of our revenue, which is amenable to automation. That is the endeavor and I look forward to updating you guys on how we progress on that front.
Joseph Foresi: Okay. And last quick one for me, can you give us any color how big Mana is and who you are competing with in that product? Thanks.
Vishal Sikka: It is one-of-a-kind, man. Everyone [indiscernible] platform these days and from the times that I studied, I, as a student to now, it is a very – everyone calls there, toolkits, AI platforms and there is a tremendous amount of excitement in the world of AI these days. Everyday, there is some breakthrough or the other that is delivered the kids at open AI, which is a open consortium in the world of AI. There is really extraordinary work last week in really new frontiers and on supervised learning. We had an amazing example at a bank here in Asia where we built a Mana-based solution to process NDAs, non-disclosure agreements for this bank. And they had a small team of lawyers, I think between 10 and 15 junior lawyers that used to process these NDAs. And with Mana, we can automatically process them. We learnt these in [indiscernible] network and to figure out if there are modifications through the NDAs, if those modifications are acceptable or not. And we do all of that automatically and completely eliminate that portion of the work done by these team of lawyers. I mean, this is not administrators, file system admins or operators of standard operating procedures, some things like this. This is lawyers that we are talking about. So, it’s really an exciting field. And I mentioned that we acquired this team of 8 PhDs from Skytree under the leadership of Sudhir. And we like to think that – I mean, if you look at the IDC report that just come out on Mana or Forrester report or HfS report that will give you some more insights on how it is doing compared to the others. But beyond that, I like to think that it’s a one-of-a-kind platform.
Joseph Foresi: Okay, thanks.
Operator: Thank you. The next question is from the line of James Friedman from Susquehanna. Please go ahead.
James Friedman: Hi. I just wanted to start with a housekeeping question, Vishal. I want to make sure I heard you are right with regard to the first half, second half seasonality. We are talking kind of quickly here?
Vishal Sikka: The – let me mention exactly what I said. What I said was this takes into account the normal seasonality of a stronger performance in the first half of the fiscal year. We have chosen these words carefully and perhaps Ranga can add to whatever I have to say here. I want to say is that if you look at the traditional services business and if you look at our performance over the last many years, the first half of the year tends to have stronger performance than the second half of the year and that pattern we have factored in as we learned about our guidance experience over the last few quarters as we look at the 6.5% to 8.5%. Having said that, the software business obviously is immune from the seasonality and the software – as the software business becomes bigger, we expect that more of this as we transform the softer business towards the bookings oriented and subscription oriented business, we expect that more of this will happen towards the second half of the year. And as we get more visibility we will change that and [indiscernible] new services on a steep ramp up. And again, that we expect will still have an impact again as time goes forward and so forth. But the statement I made was that the guidance that we have provided today takes into account the normal seasonality of the stronger performance in the first half of the fiscal year. Does that make sense?
James Friedman: Yes. Thank you for repeating that. And then just my follow-up, I understand you gave commentary about your anticipation on financial services are any of the other verticals contemplated to either decelerate or accelerate this fiscal?
Mohit Joshi: Yes. Hi, this is Mohit. So let me just reiterate on the [indiscernible] financial services. As you have seen in the current year, right, so for the current quarter we grew on a reported basis by 1.4%. But actually if you exclude [indiscernible] the growth in the services was 2%. If you look at the entire year, the growth is double digit, we should believe is very strong, right, I mean compared to what was expected with the start of the year and compared to where our peers are landing up. I think we remain optimistic about financial services for the next 12 months as well. I think our story about renew and new about automation and AI, but also of our Design Thinking and digital is really resonating well by clients. So brief perspective that we have on financial services. As I mentioned, in the U.S., we see a lot of optimism and we expect it to convert into higher IT spends. Our European business in any case has been extremely strong for the past 2 years or 3 years. And despite the fact that the banks they are slightly less optimistic than U.S. based banks, we have a lot of headroom for growth. The banks in Europe are still behind the curve in terms of technology adoption. So that gives us a lot of room to sell our existing and our new stack of services. And we have a very healthy business in the rest of the world, including in Australia. So that’s just a quick really more of a geographic rather than a sub-vertical snapshot, but hopefully it gives you a perspective.
James Friedman: Okay. Thank you for taking my questions Mohit and Vishal. Thank you.
Operator: Thank you. The next question is from the line of Keith Bachman from Bank of Montreal. Please go ahead.
Keith Bachman: Hi. Thank you very much. I am going to throw in two questions or ask two questions if I could. The first is on the margins, is that something I was hoping you could clarify, because I also didn’t catch you quite, but it sounded like you said each 100 basis points shift on-site negatively impacts margins by roughly 40 basis points if I heard that correctly, but the longer term view is why wouldn’t that persist and what I mean by that is you trying to go increase your digital content, which I think is more onshore labor than offshore and the visas may or may not play out, but it would seem that you are trying to position more onshore labor in response to that, so if you could just clarify, A, that I hear that correctly and B, why wouldn’t that be a longer term issue that would thereby put pressure on margins over sustained periods of time?
Vishal Sikka: Hi Keith, this is Vishal. Maybe I can start and then Ravi can add to this. If you look at the overall situation with the workforce, there are three distinct forces at play here when you think about onsite and availability of talent and skill. One is the fact that as you said, the newer services, digital and so forth require more up-close distance, hands-on engagement, local talent and things like this. The other one is that we have a huge amount of talent present in the larger volume of services that I mentioned earlier, 65% of the workforce producing 55% of our revenue. And in that part, we can significantly optimize the onsite mix and bring much more automation to bear and free up more capacity onsite. And the third dimension is the visa dimension where we need to hire locals anyway, so we believe that one of the things that Ravi has been working on is a very – it’s a not a straightforward thing, but a very well thought through plan to optimize along these three dimensions to make sure that we are really maximizing the on-site mix when it comes to – maximally optimizing the onsite mix. When it comes to the commoditizing services, we are rowing without compromise because of the higher value offsetting the onsite costs when it comes to the new services. And taking advantage of the fact that because of the visa related matters we have to get more local hiring than any way to ensure that that is done in a very purposeful and carefully thought through a locally. Ravi?
S. Ravi Kumar: To add on to what Vishal said, one is exactly like Vishal said, which is the digital and renewed services come at a substantially higher margin than these traditional services, so onsite is in fact more profitable. And from the incremental growth that we see is beneficial to having those services on-site. Coming back to the other part, the second part of the business segment, what I was referring to was really one of the fixed price projects, right. We undertake a lot of fixed price projects onsite. By reducing the days of course, the revenue is very much fixed and we have more flexibility in off-shoring as well as changing the rule mix in that fixed price project. So that’s what we are zeroing in on. So I hope that clarifies.
Keith Bachman: It does. I will ask my – thank you very much for that response. I will ask my second question and then I will see the floor. Vishal, have you seen any evidence there is I would suggest or submit that there is a lot of confusion, at least that we pick up on what the HB1 issues may or may not mean, have you seen any evidence of customers that are a minimum pausing before they will execute contracts with an Indian providers or any delays, any characterization that you could give in response to the uncertainty on the H-1B issues? And that’s it for me. Thanks very much gentlemen.
Vishal Sikka: Yes. I think it is too early. There is nothing material so far. There is a lot of curiosity, a lot of interest and a lot of clients want to know what’s going with the whole H-1B situation. They want to know, I mean they are not obviously – because of the fee working with companies like ours is not just about outsourcing or taking costs out and the stuff like that. But it was about really bringing capabilities and innovation that no one else can bring. And so there is no rethinking of that. It is simply that, for example, if there are workers that would be impacted by the clients would think about ways of ensuring that their workers – the way you structure the contracts and so forth take into account all of that and so forth. But so far, I have not seen anything material. And so proactively, we are building our approach in our plans and but as President have something to add to this, do you guys want to add anything to this?
S. Ravi Kumar: No.
Vishal Sikka: I guess they don’t.
Keith Bachman: Okay, fair enough. Thank you.
Operator: Thank you. Ladies and gentlemen, this was the last question for today. I would now like to hand over the floor to Sandeep Mahindroo for closing comments. Over to you, sir.
Sandeep Mahindroo: Thanks everyone, for joining us on this call. We look forward to talking to you again. Have a good day.
Operator: Thank you very much. Ladies and gentlemen, on behalf Infosys Limited, that concludes this conference call. Thank you for joining us. And you may now disconnect your lines.